Operator: Good morning, and welcome to Forterra's Third Quarter 2019 Earnings Conference Call. Today's call is hosted by Karl Watson, Jr., the company's Chief Executive Officer; and Charlie Brown, the company's Chief Financial Officer. With that, I will now turn the call over to Mr. Brown.
Charles Brown: Thank you, and good morning to everyone. Welcome to Forterra's Third Quarter 2019 Earnings Conference Call. I'd like to point out that Forterra intends to take advantage of the safe harbor provision of the Private Securities Litigation Reform Act of 1995, as noted in the earnings release we filed last night. In addition, we have posted an investor presentation on our website under Investor Relations that includes price and volume information for both of our segments. Please remember that our comments today may include forward-looking statements, which are subject to risks and uncertainties, and actual results may differ materially from those indicated or implied by such statements. Some of these risks are described in detail in the company's SEC filings, including our annual report on Form 10-K. The company does not undertake any duty to update such forward-looking statements. Additionally, we will refer to non-GAAP financial measures during the call, including EBITDA, EBITDA margin, adjusted EBITDA and adjusted EBITDA margin. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measure and other related information, including a discussion of why we consider these measures useful to investors, in our earnings release.  Now Karl will give an update on our business.
Karl Watson: Good morning, everyone. We appreciate you being on the call with us today. Our third quarter results reflect the continued improvement in the operating performance of our company. The solid quarter saw a year-over-year increase in revenue of 7% and gross profit of 32%, primarily driven by, one, higher volume associated with favorable weather conditions benefiting our Drainage operations; two, higher average selling prices in both of our businesses; three, lower raw material costs in the Water business; and fourth, the beginnings of productivity improvements across both businesses. As a result, adjusted EBITDA was 30% higher than the same quarter last year.  I'd like to spend a few moments to summarize our current quarter performance in terms of volume, price and cost. Drainage shipment volume increased 9% year-over-year. The growth in volume reflects fewer rainy days in many of our key markets, especially Texas. Backlogs for pipe and precast products at the end of the third quarter were up year-over-year, giving us confidence in our near-term volume outlook. Water shipment volume decreased by 9% over the same quarter in the prior year. Our customers indicated that they built inventory in the third quarter of last year, an action they did not repeat this year. Regarding future demand, while our backlog at the end of the third quarter was less than at the same time last year, we have seen an increase in recent booking volumes.  We anticipate volumes in Water business to return to our historic averages. In regard to pricing, draining prices -- Drainage pricing increased by 5% per ton, and Water pricing increased by 6% per ton year-over-year. We have kicked off Forterra commercial excellence, which is a multi-layered approach as to how we market our products and price them to earn a fair return on our investments. We expect continued improvement in pricing in the coming quarters, most notably in the Water business. Our cost performance is affected by major raw material inputs and our productivity in converting those inputs into products. In the Drainage business, input costs were up slightly year-over-year, primarily driven by a shift in product mix to products, which require more steel. In Water, we have been the beneficiary of reduced ferrous scrap pricing, which has decreased over 20% compared to same quarter last year. Our conversion costs in both businesses have improved modestly, and we anticipate more notable [indiscernible] in the future as we advance in our Forterra operational excellence journey.  Our margin expansion has benefited both pricing and cost initiatives, continuing to expand our unit margins, provides a balanced objective for our teams as we drive change. We are in the early stages of both our commercial and operational excellent journeys and see many opportunities for continued improvement. After a little over 4 months with Forterra, I'm pleased with the progress we have made so far. And I'm even more excited about the future ahead of us.  With that, I'll turn the call over to Charlie, who will give you an update on our third quarter financial results.
Charles Brown: Thanks, Karl. I will take a moment to address our segment and consolidated results, with the conclusion being, as you've already seen in our press release, that we're revising our full year guidance. Our Drainage segment performed well during the third quarter. Shipment volumes were up 9% and average selling prices were up 5%, contributing to a 29% increase in gross profit and a 25% increase in adjusted EBITDA year-over-year. On the cost side, as Karl mentioned earlier, we have seen small increases in our raw material costs, labor as well as freight costs this year. However, we offset these cost increases with operational efficiency savings. As a result, our costs in the quarter remained relatively flat year-over-year.  Switching over to Water segment. Again, we don't believe the 9% year-over-year decline in shipment volume is an indication of future trends. Historically, backlog at the end of the third quarter is lower than the second quarter level due to the seasonal nature of our business. That being said, our backlog at the end of this quarter actually grew compared to the second quarter, supported by the strength of recent bookings. The operational issues we had last year are now behind us, and our ductile iron pipe business is more than capable to service our customers' needs. Our average sales prices have improved 6%, and our input costs are lower than prior year. As a result, our gross margin in the Water segment expanded by more than 450 basis points year-over-year.  Our corporate adjusted EBITDA was in line with our internal plan for the quarter, but reflected an increase year-over-year due to our favorable adjustments last year and current year investments in our systems.  On a consolidated basis, we reported adjusted EBITDA of $80 million, compared to $61.6 million in the third quarter last year. The improvement in our adjusted EBITDA is primarily driven by higher sales price as well as higher volumes in Drainage, partially offset by lower volumes in Water as well as increase in SG&A expense.  On the liquidity side, we generated $93 million of cash flow from operations compared to $18 million in the third quarter of last year. We paid down $39 million in borrowings under our revolving credit facility, voluntarily repurchased over $16 million in our term loan and still ended the quarter with $44 million of cash. During the last quarter of the year, we anticipate that pricing will continue to trend upward. Demand will be solid and costs will be managed efficiently. Therefore, we are revising our 2019 outlook, forecasting adjusted EBITDA to $180 million to $200 million. And as previously communicated, we expect to continue our voluntary repurchase of the term loan in the fourth quarter, with a total amount for the year to be between $30 million and $85 million.  This concludes our prepared remarks. Operator, will you please open the line for questions? 
Operator: [Operator Instructions]. Our first question comes from the line of Gary Revich from Goldman Sachs.
Benjamin Burud: This is Ben Burud on for Jerry. So your revised guidance is implying 4Q EBITDA in the $20 million to $40 million range. For context, normal Q4 seasonality that we've observed would imply Q4 EBITDA of about $42 million or thinking about it another way, the low end of the implied guide would suggest that Q4 EBITDA is about 11% of the full year, which is well below your historical average of 19% and even the prior low that we've seen of 16%. So all that being said, can you step us through how you're thinking about Q4 based on the guidance that you've given us today? And is there a deterioration in demand that we need to be calibrated for that we're not currently modeling? Is it average timing, mix shift, conservatism, et cetera?
Charles Brown: Okay. So Ben, you're curious about the fourth quarter. Is that what I'm hearing?
Benjamin Burud: Exactly, yes.
Charles Brown: Okay. No, I appreciate that. I guess, first off, it's the fourth quarter, which is very highly subjected to weather. And we had a spectacular third quarter in most of our markets, and so being who we are and anticipating the outdoor impact, we took a conservative view, assumed that there would be an earlier winter as a result of that. So take it as a conservative perspective. As far as demand, Ben, know, as we -- both Karl and I stated demand actually looks pretty solid. We've got decent backlogs and demand has been very good and we see pricing momentum continuing. So we feel that again having a conservative perspective on the fourth quarter knowing that we are totally exposed to weather and the fact that it's raining today in Dallas would keep us conservative.
Benjamin Burud: Got it. Understood. And in Drainage, sorry...
Karl Watson: Just to emphasize that a little bit because you asked is there anything that we see about the underlying demand being soft, we don't. Our backlogs are up in Drainage. Our bookings are up in Water. There's nothing on the horizon that we see that would suggest anything is soft about the demand for our products.
Benjamin Burud: Got it. Perfectly understood. And in Drainage, volume growth was obviously very strong at up 9% in the quarter. Is that a sustainable rate of work in your view? Were there any project timing tailwinds we should keep in mind when thinking about sequential growth into 4Q? And how that would impact 2020 comps?
Charles Brown: I don't know how long that is sustainable. But in the short term, I believe that it is, because if you look at our backlogs, those percentages increase are reflected in our backlogs as well as our shipments.
Karl Watson: The only comment is, obviously, we are subjected to weather.
Charles Brown: Right.
Karl Watson: And so when you have spectacular weather like we did really have, it was very dry and very warm. So we didn't have any problems with putting pipe in the ground for the whole third quarter. So that's -- we've talked about this over and over again. And hopefully, you noticed, we try to keep weather out of our release because the only news we have about weather in the third quarter was it was good.
Benjamin Burud: Exactly. And just to be clear, there's -- whether just lets you play catch-up or satisfy near-term demand. There's not -- you're not really pulling any work forward from 4Q into 3Q?
Charles Brown: Our backlogs don't suggest that at all.
Karl Watson: That is correct, Ben.
Charles Brown: And I think that is the key point that Karl is making, is we can supply, and it really comes down to the amount that the contractors can take during any period.
Karl Watson: I think in almost all construction material markets, there's not enough labor to pull stuff forward. It did rain, it pushes stuff back. There is not the labor supply to actually have a large catch-up in any one period of time, especially the third quarter.
Operator: Our next question comes from the line of Rohit Seth from SunTrust.
Rohit Seth: This question is for Karl. You've got some time now to kick the tires at Forterra, and now you talked about some commercial excellence initiatives and operational initiatives. Curious if you can just elaborate on what those are? And maybe if you have some longer-term targets for the business?
Karl Watson: Well, I think from a commercial excellence standpoint, I said it was multilayered. It really is sort of 7 levers: segmentation, value proposition, hiring the right salespeople, training the right salespeople and managing those and then market and profit -- market analysis and product and customer -- product and customer profitability analysis. I mean -- so it's a multi-layered approach that we're taking. Let's say, just starting, you can't do all things at once. We're probably traveling pretty fast on 2 of those fronts. But I see this as, over the next 3 to 5 years, of a continuous journey to actually getting better and better at what we do on a commercial side. As excited as I am about that, I'm equally excited about the production side or the productivity side. I would say that my kicking the tires shows that we have franchise positions in both businesses.  We have very good market structures in most of our markets. I would say that from a production standpoint, though, we have a long way to go to be a world-class organization when it comes to converting our raw material inputs into products. And through a very focused effort on -- for lack of a better term, all things lean, there's a lot of waste that we can take out of the system and a lot of productivity improvements that we can input into the system, to actually believe that we can hold to our cost on a per unit basis, outside of material costs because aggregate is going to go up, cement is going to go up, steel is going to fluctuate. We can keep our conversion costs relatively flat and fight back inflation over the long term, over the long term. There'll be short-term differences in that when we'll have a big production months, lower production months. But over the long term, we think that we can hold our conversion costs flat on a per unit basis. The combination of those two, I think, provides an earnings runway that we feel pretty excited about internally over the coming years. It's too early to talk about it, but we'll talk about that at our fourth quarter call, and what we think is in store for 2020. But I would say internally, we're pretty optimistic.
Rohit Seth: Okay. Is there -- are there any -- what are your thoughts on the footprint? Are you going to stay in the businesses that you have? Are there any opportunities to maybe swap some assets or sell something up and reinvest in some areas that are growing faster, anything of that nature?
Karl Watson: If I look at the Water business, I'm very satisfied with our footprint, our market position and where our assets are. In the Drainage business, I'd say, we're 90% satisfied with what we have, with where we are in the market positions. So it's really at the edges that we may be doing something, nothing substantial, nothing material and certainly nothing transformative. The things -- 3 things that we're working on right now are just improving our unit margins by both the commercial and operational sites, being very effective with our working capital, to increase our free cash flow, to then focus that on paying down debt. And that's what you'll see us doing for the next foreseeable future?
Charles Brown: Yes. I mean we've talked about that in the past. I mean, that's just portfolio management. We will sell some assets. We have some, with recent efforts on our part with the sale leaseback, we do have some properties that we will continue to sell. We'll use as trade, and we will reinvest that business -- that money in our business, most likely. But those are all going to be very small things. You won't see a major change in our footprint in the foreseeable future. And so, as Karl said, we have our -- focused all our debt -- focused on our debt and brought that into a more manageable level.
Rohit Seth: Understood. And then just last question. On the Water margins, having got to 14 or so, last couple of quarters, I mean, is the run rate we can model going forward or at least for the next few quarters? I know scrap steel prices have come off and looks like it's trending down, but I don't know if it's going to stabilize here or just more curious on your thoughts.
Karl Watson: Yes, I do believe. The simple question -- the simple answer to your question is, yes, I do believe that you can model that. Our -- what we're trying to do in our Water business is price our product, so that we create value when scrap prices are at an average price, and so that we're not -- we may create no value when they're at high prices, but we won't go backwards. If those scrap prices come down, like they are now, we will advance a little bit faster. Having said that, though, our prices in Water aren't anywhere close to where they need to be today what we're selling in order to create value at the average scrap prices. So we have some runway to go still on where we're trying to take the business in Water commercially.
Rohit Seth: Okay. Has your competitors announced any price increases that you could talk about?
Karl Watson: We announced one for October 1. And so far, it's feeling very positive. It's early days. It's only been 1 month, but it's feeling pretty positive. I really can't comment on what our competitors are doing.
Operator: [Operator Instructions]. Our next question comes from the line of Matthew Bouley from Barclays.
Matthew Bouley: Congrats on the results. On the Water business, I think you made the comment that bookings are beginning to pick up and then backlog is still -- it's still -- it's up sequentially, but still down year-over-year, and correct me if I misheard that. I guess what are you seeing with customer inventories at this point? Are we getting to a point in Water where there is visibility to positive volume growth? Or is that more of a 2020 event?
Karl Watson: No, I don't think it's a 2020 event. I think we're seeing our bookings -- let me say it a different way. Our bookings today are -- in the last 3 months are stronger than our bookings have historically been at this point in time last 3 months. Typically, our bookings are higher in the first half of the year compared to shipments, and then they fall off the last half of the year compared to shipments. We're sort of reversing that trend at the moment, which gives us growing confidence. I say growing, not absolute confidence, that our volumes are going to return to more historical levels versus the trough we've been in this year.
Charles Brown: Yes. I mean I think the key point is, we created a little bit of this problem for ourselves last year. Operationally, we had some challenges. And that put us behind on our deliveries in the second half of last year, which caused customers to bring forward a lot of the bookings in -- at the end of 2018. And we talked about -- we delivered a lot of that. Last year, this time, we talked about being at operational capacity, just trying to meet all that demand. We've pushed that all out into the system. It ended up in their inventory. That caused for delays in the second -- in the first half of the year, where we were not able to -- they did -- they had excess inventory. We were improving our relationships with the customer. Looking back now with hindsight, we see what had happened, and it caused for less demand in the first half as they went through that inventory. Third quarter impact was we -- they were, last year, buying for building that inventory. We now believe that we're in kind of an equilibrium. And as we've talked about before, the demand, we feel, is very steady in this business. The actual sales, however, get very lumpy. So we're feeling pretty good about what we have. I think the backlog and bookings review certainly gives us the confidence going forward.
Matthew Bouley: Okay, perfect. And then secondly, I think you mentioned in the release, and I think in your opening remarks, just around some of the improving plant efficiencies as well and some of the cost management progress you're going to be making into the fourth quarter. Just kind of any elaboration on what you've got going on there inside the walls? And what's kind of the runway you see to improve the cost structure?
Karl Watson: Well, we've -- let's just take Water first. In our Water business, we just hired a new Vice President of Operations. We had been without one for quite a period of time, especially since Rich has come over to run the Drainage business. And in our Drainage business, we've -- actually in the middle of -- actually just completed a reorganization of that business in order to bring in somebody, who will be looking after operations as the Vice President of Operations to actually coordinate the activities across the group as well as -- so having a national focus as well as the way we're structured with our division general managers, where they own the P&L. What I think the opportunities are as far as the numerical outcomes is I want to reiterate. I believe that we can hold our conversion costs flat on a per ton basis even with rising labor rates.  There is probably 2.5% to 3% real productivity increases out there that we believe that we can get in the coming years to where all of our commercial initiatives flow to the bottom line and are not eaten up by cost increases on the conversion side. As far as material costs, scrap will fluctuate, steel will fluctuate, aggregate seems to always go up and cement will fluctuate. And we'll do -- we have a very solid procurement organization, which I think procures very well and very competitively. So we'll do the best to hold those down. But what we're really focused on is the productivity and the reduction of waste around turning those raw material inputs into products. The other thing I want to talk about a bit is our focus on working capital. We've been talking about that for quite some time since we went public. But you're going to see a meaningful reduction in working capital this year, especially on the inventory side. But we could also do a better job of managing it to other levers in that. So we'll be -- we will -- we're very focused on cash generation at the unit margin level, but also on the working capital level.
Operator: I'm showing no additional questions in the queue. At this time, I would like to turn the conference back over to management for any closing remarks.
Karl Watson: Well, we want to thank you for joining us on the call, and we look forward to talking to you next year. Appreciate it.
Charles Brown: Thank you all.
Operator: Ladies and gentlemen, thank you for participating for today's conference. This concludes today's program. You may now disconnect. Everyone, have a wonderful day.